Conversation:
Unknown Executive: Good morning, everyone. Welcome to Thai Union's Analyst Meeting for the Fiscal Year of 2025 Results Announcement. My name is [ Malanyali Jadulong ] and I will be your MC today. First of all, I would like to introduce our management. First Khun Thiraphong Chansiri, President and CEO; Khun Ludovic Regis Garnier, our Group CFO; and Khun Pinyada Saengsakdaharn, Head of Investor Relations. Today's session will take around 1.5 hours, including Q&A session, and then followed by a 10-minute break before we begin the TFM Analyst Meeting. Without further ado, I would like to invite Khun Thiraphong to begin the presentation.
Thiraphong Chansiri: Good morning to all the analysts and the executives from financial institutions joining us today. Today, we're going to share our performance results with you for the fourth quarter of last year as well as for the full year of 2025. 2025 was a year that is very memorable for us because we have so many stories, important stories, whether it's in terms of the reciprocal tariffs, which was something quite new for us, and also the exchange rate for the Thai baht, which has strengthened. The appreciation of the Thai baht is one issue, but what is important is that our neighbors, their currencies have weakened. And this is a challenge -- this was a challenge that we faced in the past year. Nonetheless, I believe that thanks to our adjustments, and which we have continued to adjust, we've been continuously adjusting. Over the past 2 years, we have put in place our Sonar program, our transformation initiatives, our Tailwind program for [ item ] to improve our PetCare profitability, and this has helped us achieve or be able to manage our costs in terms of productions and SG&A as well in the past year. Thus, in the past year, we have prepared for growth in 2026. If we take a look at our transformation program, you will see that we have our Sonar program where the goal is to achieve savings at USD 25 million, and our Tailwind project, where we want to have an operating profit of USD 20 million. And these 2 projects, we are on track. In terms of cost resetting, we have a target to reduce our cost by USD 118 million by the year 2027. And in the past year, we have had refinancing worth THB 24 billion. And this led to a decrease in our interest expenses significantly. And we also have our portfolio focus where we have adjusted our portfolio to emphasize on higher profit margin products. Innovation is also extremely important for us. Every business unit of ours, we have launched new products, whether it's our Ambient branded in America and in Europe. In the pipeline, the products in our pipeline that we're seeing significant achievement in that area. We have our innovation hub in Netherlands -- in the Netherlands. In the PetCare business, innovation is also extremely important as a key driver for the sales growth for ITL. In our Frozen business and the culinary-ready meals, this is something that we have seen major development in the past year. If we take a look at the full year results, you can see that in terms of Thai baht, the sales went down by 4.1%. But what is positive is that our volume has returned to growth at 2.5%. The overall volume that we have produced and exported is at 900,000 tonnes and the demand is very positive for Frozen feed and PetCare products. And with the feed, this is another business of ours where we have achieved a new record high in terms of market share and sales and profitability. And later on, Thai and Pinyada will present their performance results for you. And we also have PetCare positive results. So we've done very well in the past year in that regard. Our gross profit margin is at a high level, although it is below our target. With 19%, the drop is because of the foreign exchange impact. Another issue that I believe is something that is a highlight for us is despite our net income decreasing year-on-year, our earnings per share, or EPS, has grown compared to -- comparing year-on-year, it's gone up 7.2%. And this has enabled us to pay dividends, higher dividends. And on the next page, you can see that our EPS has grown from THB 1.8 to -- THB 1.08 to THB 1.16. And our adjusted net profit has gone down by 3.1% despite that. And this is something that we are very happy with. We are able to provide that earnings to our shareholders, and it continues to remain at a constant rate, more or less constant rate. And on the next page, you can see that our sales is at THB 35 billion. The advantages here are if we do not include the foreign exchange impact, our sales have gone 0.7%, which is a strong momentum in the fourth quarter. Our gross profit is at 18.3%. This is mostly due to the tariffs -- the increase in tariffs as well as the higher selling prices in the fourth quarter in Europe. Our adjusted net profit is at THB -- adjusted operating profit is THB 1.65 billion. Operating profit margin is 4.7%, and our adjusted net profit has gone down 22.7% in the fourth quarter. And on the next page, we'd like to point out our track record in terms of consistent dividend payouts. Ever since we founded the company, we have been able to provide dividends, and our policy has been no less than 50%, and we have paid at this high level, ever since the founding of the company. From 2023 onwards, 2024, you can see that we have -- can pay -- continue to pay out higher and higher dividends. And in 2024, it was 0.66 and in 2025, it is 0.7. And in this year, we have already paid TWD 0.35 per share. And in the second half of this year, we will pay TWD 0.35 per share as well. The ex-dividend date is on the 2nd of March and the record date is on the 4th of March and the payment date is on the 24th of April. And that's all of the details regarding dividends. And the reason for our higher EPS is our share repurchase program, which today, we have repurchased about 10%, most recently, at the beginning on the 8th of January, we lowered our shares by 200 million shares. We have 400 million shares remaining. That is our last program, and we will be implementing that plan in the future. And here, you can see, as always, we continue to be awarded and receive recognition from various organizations. And we received the leadership award from the Thai government and also from the Stock Exchange of Thailand. And also our products have been recognized, whether it's ECOTWIST that we launched in the U.K., we received an award. It's a Packaging award in the past year that we are proud of. And another recent news that we're very proud of is our sustainability recognition. We have received ranking in the top 1% globally by S&P Global. So we're included in the S&P Global Sustainability Yearbook for 2026. And this is something that we continue to be a pioneer and leader in. We have been upgraded in terms of our ESG ratings by FTSE Russell ESG. The climate disclosure, we have been upgraded from B to A. And from the SET, Exchange of Thailand, we have been -- our rating has improved to AA in Agro & Food. And there are other awards and recognitions that you can see from the presentation. And as for the financial performance for the fourth quarter 2025, I would like to hand things over to LUDO to share those details with you.
Ludovic Garnier: Thank you, Khun Thiraphong. Good morning, everyone. Very happy to be with you. I will start with our usual 5 years picture on the sales and the GP margin. The few takeaways for you are, we are extremely proud this year to achieve our best performance ever in terms of GP margin for the whole year, just below 19%. We're expecting to reach 19%. We are just below for the whole year. And you can see achieving this performance in such a volatile environment with the U.S. tariff and the FX playing against us, I think we can be very happy about that. Of course, we don't want to deny that over the past 2 quarters, we have been under pressure because of the U.S. tariff. You can clearly see that in our numbers. However, the full year performance is very encouraging, and I think this is something we have to acknowledge. The second one is, please have a look at the sales development quarter after quarter. For you to remember, we started Q1 with a decrease by 10%, mostly because of the FX, and then in Q2, minus 5%; Q3, minus 1% and almost stable in Q4. We are very close to be flat or even back to growth. But I think all of these are very encouraging KPI that we are looking for. If I deep dive on the FX impact, and you know the FX has been a very strong impact for us. You can see here, we have a small table. In Q4 alone, the USD versus Thai baht has been deteriorating by 5%. The same for the GBP by 2%. Euro has been the opposite way by 3%. So it's partially offsetting this impact. So we are facing even in Q4, some very strong FX impact compared to last year. And this is something we have to keep in mind, even if we do a lot of hedging, of course, we have our U.S. operations, which are affected by this one. And Khun Thiraphong mentioned this one. One of the issue is all our competitors in the countries around Thailand have been -- have not seen such an increase of their own local currency. okay? So we are one of the only one where the local currency has been strengthening so much versus USD over the year. So here a few things. What is important for me is the dark blue, okay? The dark blue is the organic growth. You can see now it's 2 quarters where the organic growth is positive. I think this is encouraging. If you look at the light blue also, this is the FX impact. And the good news is the FX impact is reducing quarter after quarter, okay? You can see in Q1, it was significant Q2 also, Q3 dropping a bit, and then Q4 now, it's almost nothing, but it's offsetting our organic growth in Q4. One good takeaway also from this slide is our volume growth, okay? We told you when we've been facing with the U.S. tariff in Q2, we have been facing one of the key question mark will be the reaction on the demand in the U.S. You can see here, we have been generating some volume growth consistently every quarter, every quarter. Of course, we have different pictures depending on the category, and Khun Kuan will elaborate on this one, but I think this is also a very encouraging signal for all of us. Next slide, you can see our raw material prices. I think, overall, it has been under control. This year, we have been facing a bit of inflation. You can see in Q4, we had $1,573 for Skipjack, increasing a bit compared to last year, but overall, within our comfort zone of $1,400 to $1,700. Shrimps also has been increasing overall quarter-on-quarter, but still an acceptable range. And the salmon also, I think, is also more steady compared to where it had been the years before. So I think we have been quite happy with the salmon development. You have also, for each of these raw materials, our assumption in terms of budget for the year '26, of course, what we provide is always the average for the whole year. You can have some ups and downs during the year depending on the quarters. But overall, we don't plan for very significant changes in terms of raw materials next year. In tuna, the same in salmon, the same in shrimps, okay? We do expect a bit of inflation, but nothing dramatic for the business. So next one is regarding the FX. And I think this is the most important slide that we do have. Of course, the deterioration of the USD versus Thai baht. I mentioned this one has been impacting our business. You can see in Q4, we are 32.2%. In Q1, it is deteriorating a bit further on this one. This is one of the key components of the performance, and it was quite far away from our budget assumptions for the year '25, which was much higher than this level. Euro, there were some ups and downs. Euro has been increasing over the past 2 quarters. So I think we're in a better shape here. GBP also has been deteriorating versus Thai baht. Japanese yen, I don't need to comment. We know it's very weak versus all currencies. If I now move to our net debt bridge, '24, '25. The first thing is our net debt has been increasing in '25 from THB 53 billion at the end of '24 to THB 61 billion, okay? Let me walk you through the key components of this one. First of all, the EBITDA, I think the EBITDA is quite aligned with our expectation, THB 12 billion, THB 13 billion. This is where we are usually. But then next to the EBITDA, you can see we have a big box, which is net working capital, increasing by THB 6 billion. That was kind of a surprise for us, especially in Q4. Our inventories, our AR have been increasing in Q4. A few drivers for that. First of all, the U.S. tariff now are inflating our inventories in the U.S. on average by 20%, 25%. In the U.S., we import a lot of product coming from Thailand, from Indonesia, but also from India. The average tariff rate that we have is something close between 20% to 25%, depending on the mix country. So this is one of the reasons. We have been facing also some good issues, a lot of orders in our U.S. Frozen business at the end of the year. So we built up a lot of inventories at the end of the year to face with this situation. Also, our sales in December were high. So our AR are also higher compared to what we have usually, okay? So the impact of all of this THB 26 billion over the full year. CapEx are under control. For you to remember, at the beginning of the year, the guidance for '25 was THB 4.5 billion to THB 5 billion. When we have been facing with the tariff, we have been reducing our guidance, we say we want to keep under control. And then after we have been loosening a bit the CapEx, okay? But still, we have been spending below our guidance for the full year. And you will see when Khun Thiraphong will talk about our guidance '26 for the CapEx, we are catching up a bit of CapEx, which have been delayed from '25 to the year '26. All the rest, tax, dividend is kind of normal. You can see, of course, on the right, we have also one box, which is very unusual, which is our treasury share buyback for THB 4.3 billion, which is the last program we have been doing in the year '25. So the consequence is our net debt to equity has been increasing. It was below 1 at the end of '24. It's 118, 118 at the end of 2025. There is one good news. The cost of debt has been decreasing, okay? It was 3.65% last year. In '25, it was 3.31%. Here, you can see the impact of the interest rates gradually reducing in the world. We have a clear action plan for '26. We are not happy with our cash performance in the year '25. So we have a clear action plan to improve and to generate more cash in '26 and especially to reduce our net working capital across all our locations, okay? I think we can understand '25 with the tariff, we had to build up a lot of inventories, but now the tariffs are becoming part of the routine. We have also some good news. You heard that India, the tariff for India are reducing from 50% to 19%. We do have a lot of inventories in the U.S. coming from India. So that will help us to decrease also our level of inventories next year. So you can see here the impact in terms of ratio, the inventory days. You can see here clearly the inventories in terms of absolute amount have been increasing by THB 4 billion. In terms of inventories, inventory days, we have been gaining 3 days, and the same roughly for our net working capital, okay? In terms of ratio, net debt-to-EBITDA, we are exceeding 5x, okay? We are not happy with that. And again, I mentioned to you that we have an action plan. The goal for us will be to reduce our net debt, and our net working capital during the year '26. We want to get back very close to 1.1, okay, by the end of 2026. And also in terms of net debt to EBITDA, right now, we are at 5. We want to go more in the territories of 4.5, 4.4x at the end of 2026. Very strong actions are expecting next year on that part. Now I move to the transformation program. You know about Sonar. You know about Tailwind. You know this is the end of the Sonar program. We told you it was a 2-year program, '24, '25. I think we are on track. We are slightly exceeding our target in terms of savings for the year 2025. We did achieve $20 million versus a target of $15 million. For you to remember, next year, we are planning to have even more savings because we have the full year annualized savings coming from this one. We did give you here some few initiatives we have been doing in Sonar, okay? One of the most important one for us was to move to one global non-fish procurement organization, okay? For you to remember before, our procurement organization was very fragmented by regions or even by companies or even by factories. Here, we moved to one global one, and we have been consolidating a lot of our purchase, okay, especially in terms of fees, in terms of olive oil. Now we are doing some purchases for the whole group. And of course, our bargaining power is much stronger. So we had some very interesting savings coming from that. You can see especially the impact in our Feed business, okay? Please stay for the TFM Analyst Meeting right after this meeting. There are a lot of good and exciting news to share with you. But you can see the performance has been really improving in '25. And clearly, Sonar is one component of that. For you to remember, our Feed business, the lead time is very short, okay? We have all our operations in Thailand. We are selling in Thailand. So you see directly the impact in our P&L. This is different for our Ambient and Frozen product where our factories are quite far away from our market. So we have very often 6 months lead time between the production, the transportation to the market, and then the sale to our customers. You have also a few examples of initiatives we've been doing in terms of production. We have been shifting some SKU across the factories from the U.S. to Africa. It's the first time that we have some -- our factories in Africa producing for the U.S. So we are becoming more agile, okay? And of course, we did all of this when we were facing the risk of 38%. Now that we're at 19%, of course, we don't need to do dramatic changes in our supply chain. However, I do believe that we became much more agile this year, okay? Our factories in Africa, especially at PFC in Ghana, they can source for the U.S. So for us, it's more one more interesting sourcing. We want to stay ready. Of course, the tariff situation is extremely volatile. Every morning, we are watching the news about what did they say in the U.S. There could be some positive news also, but we are careful also on that. Tailwind, Tailwind is a 3 years program. So there is one more year in 2026. Again, I think in terms of pure savings, we are on track. We slightly over deliver compared to our expectations. For you to remember, there is 3 work streams in this one, the commercial, the operation and the procurement. Also in this one, we are happy about the results, okay? Of course, for you to remember, we told you in '24, the combination of the 2 program will be a net negative, okay? The costs were higher than the savings in '24. In '25, we told you it's kind of a wash. We have kind of the same amount between the cost and the savings. '26, we would expect a different situation because, of course, the cost related to Sonar will almost disappear, but then all the savings will be here. So it will turn to be positive in '26, but we will still have some costs on the tailwind program. And then '27, we don't have any more all the transformation costs. And then we expect that we will maximize the profit on this one. Of course, all these savings are partially being offset by the inflation, okay? So you don't expect to see the savings directly floating in our bottom line. We have some inflation, the tariff also here. So you can see directly the $20 million in our bottom line. But overall, I think we are moving in the right direction. We told you also since last quarter that we did launch the cost reset program. And in fact, the cost reset is just a transition from Sonar, which was a very specific 2 years window to a continuous improvement. okay? Cost reset is some initiatives we have been launching on the COGS and on the SG&A. We started in the middle of the year to face with the U.S. tariff. And the idea is also to continue to slash our cost and to reduce our commercial cost, and our cost in the factories. We put here some few initiatives. Again, the cost reset is applicable across all our categories within the business. The target for '26 is around $60 million, 6-0. There is a part which is duplicated with Tailwind, okay? So we have $50 million, which is also in Tailwind. So if you want to focus only in -- on the cost reset, it's more in the range of $45 million. Again, that will help us to face with the inflation to face with the impact of the U.S. tariff. I think we have a lot of good initiatives going on right now for this one. This program, very clearly, we are capitalizing on Sonar, okay? I think through Sonar, we have been learning a methodology, which is not applicable for the whole group. And we just want to transition now to continuous improvement. We don't have any more the support from the consulting firm. We do it by ourselves, but we take it very seriously. And clearly, this is one of the key initiatives that the GLT is following within the group. I wanted to share also with you just one slide on the impact of tariff. So you can see here, of course, all our operations in the U.S. are being impacted by the tariff. Also, our operations in Thailand are also impacted because we do export a lot in the U.S. Pricing, we told you from the beginning, the strategy for us is to transfer the impact of the tariff to our customers and to the consumers. So far, we can see we could not do it across all our category, okay? Why? Because we have to watch out what our competitors are doing. We are not the only one, of course, in this market. Depending on the competitors, depending on the category, we are facing different situation. We are also monitoring what is happening in the other proteins, okay? So here, we cannot say the tariff go up by 20%. We just increased our prices by 20%. That will be too easy, okay? So we do some gradual increase. We did a bit in '25. We'll continue to do more in '26, but it will be gradual, okay? Quarter after quarter, we increase the prices to finally, at the end of the day, push everything to the consumers. One thing also you need to have in mind, and maybe it's not clear for everyone, the vast majority of our business in the U.S. is FOB, okay, meaning the buyer will take care of all the tariff impact. There is one exception, which is in our Frozen Thailand business, okay? In our Frozen Thailand business, we are DDP, okay, meaning we take care of the tariff basically, okay? So the impact for us, it will trigger an increase of our SG&A because of the tariff impact. And of course, we increase our prices, so our sales will increase, okay? So you will see that our GP margin is being inflated by the tariff impact in our Frozen business. That's why Khun Kuan will comment after a record high GP margin for our Frozen business. But our SG&A are also increasing coming from that, okay? So it's almost a wash in our OP margin, but you have a bit of inflation for these two. And of course, in the Ambient in the PetCare, as long as we are not able to transfer all the impact of the tariff to the customers, our GP margin is a bit under pressure. We have been trying to estimate just an estimate the negative impact on our OP for the full year '25, we estimate it's around THB 350 million, okay? It's not a small amount for you to remember, it's mostly Q4 and Q3. There was nothing before that time. That is a hit for us of around THB 350 million. Again, it's an estimate. It's very complex to have a detailed calculation, but it provides a good overview, I think, about where we are. One more thing also, and I think maybe we were not vocal enough during the year. We told you since the past 5 years that we have been very active now in our portfolio management. And we continue to do that in '25. And here, we -- I just wanted to give you an overview about a few divestments we have been doing in '25. We did not really talk about this one because the impact are very small. These were small businesses and very often, we sell very close to net book value. So you don't have any large gain or loss in our P&L. But we sold our shares in our factory we have in PNG in Papua, New Guinea. We sold our shares also in our supplement business in Q3. And the same for a small joint venture, who we are having in Thailand together with Interpharma. And finally, you heard the Feed business saying that they sold their factory in Pakistan. These are small things, but we told you from the past few years that now we are clearly addressing all the loss-making businesses, okay? There was one common point to all these businesses, they were all loss-making. Okay? So clearly, we are fixing them. We have less and less loss-making businesses within the group. I think it's a good thing, it's a good sign. We still have a few of them to be focused on, and we are working very actively on this one. But I think it's a good, it also avoids some distraction, okay? Even if sometimes the business are very small, it always creates some distractions of business, and we want to focus on what is having some impact. Finally, the last part for me. We just wanted to give you a heads-up regarding the top-up tax. It was a lot of triggering a lot of questions from your side all along the year. We told you last time the impact will be between THB 100 million and THB 150 million. Finally, it's THB 91 million, THB 91 million for the whole year. For you to remember, the impact for us is only in Thailand, okay? In Thailand, we have an effective tax rate, which is close to 10%, 10.5%. So we have to bridge the 15%. So we have a top-up tax, which is between 4% to 5%. And this is THB 91 million, you can see here. However, you can see that for '26, we expect the impact to be higher. And here, we expect the top of ETR impact to be around 1% to 2% and the amount to be again back in the range of THB 100 million and THB 150 million, okay? For you to remember, we are still waiting for some compensation from the Thai authorities. We know they are working on that. It takes time. At that stage, we have no visibility about when they will release anything, but we do expect at one stage, they will get back with some compensation measures, especially for the exporters business like we are. And now, I will give the head to Khun Kuan to go through the business performance.
Pinyada Saengsakdaharn: Hello, everyone. For our business performance, as always, we're looking at it by category. In 2025, the company had sales of about THB 132.7 billion. This is mostly impacted by foreign exchange. And if we take a look in specific areas, just our sales volume, as Mr. Thiraphong told you earlier, we have a sales volume that has increased by 2.5%. And in the graph on the bottom slide, you can see our sales volume. They are driven by our Frozen and PetCare categories. In our gross profit margin numbers, this year, we have a record high gross profit margin at 19.8%. And in every category, we have gross profit margin numbers that are in line with our guidance that we provided earlier. Let's begin with a look at the fourth quarter in the Ambient category, our sales is at THB 15.67 billion going down around 2% year-on-year, and this is mostly due to the negative FX impact that led to lower average selling prices. However, if we take a look at the bottom left, you can see the sales volume in the fourth quarter for the Ambient category increased by 1.7% year-on-year. This is mostly because of increasing demand in Europe and the Americas and in Thailand. In terms of gross profit margin, it is at 18.4%, going down by 2.2% year-on-year. The reason -- the primary reason for the decline is the U.S. tariffs, which have led to increasing cost for us, while the prices -- our selling prices were not adjusted to cover those costs. And we were also impacted by the raw material prices for tuna, which increased by about 3% year-on-year. We have plans in place to deal with this risk because we have increased our prices for products in America and the American continent since the third quarter of last year. And in January of 2026, we also increased product prices to mitigate that risk that has led to a lowering margin. And for the full year for Ambient, our sales have gone down 6% year-on-year, and this is mainly due to the FX impact. The sales volume also went down by 2% year-on-year. In 2025, the company we -- our customers in the U.S. were waiting to see the situation regarding U.S. tariffs. Taking a look at our gross profit margin, you can see that our gross profit margin was able to achieve a level of 19.8%, and this is very close to our target range that we provided in our guidance of 20% to 22%. In the fourth quarter for the Frozen business, our sales was at about THB 12 billion, increasing 3.4% year-on-year, and this is due to sales volume increasing by 5.6%. Our sales volume that has increased is from the Feed business for the most part. And Thai Union Feed Mill will be providing more information on their business operations that have led to an all-time high. And the sales volume for the U.S., you can see that it is still soft due to the U.S. tariff impact. Nonetheless, we have a gross profit margin for the Frozen business that is the best ever. It's an all-time high, quarterly high at 14.5%. And this is thanks to our increasing selling prices in the U.S. and the costs were relatively stable. As our executive shared with you, the Frozen Thailand exports to the U.S., we have increasing SG&As because of the inco terms or the logistics terms, which are delivery, duty paid or DDP, where we had to absorb those freight costs. Our margins, however, continue to expand, and our Feed business has provided support in this regard. For the full year, in the past 5 years, we have had low range sales, but we have plans to remove the low-margin businesses as well as those companies that are not generating any profit. We informed you last year that our new baseline for the Frozen business will be at around THB 42 billion. And this year, we have a drop by about 2.5% due to the FX impact. Our sales volume for the Frozen business for the entire year increased by 7.6% year-on-year. And this is mostly due to the volume from the Feed business, which increased gross profit margin has also improved to an all-time high of 13.2%. As for our PetCare business, you can see that in the fourth quarter, we had sales at about THB 4.69 billion, increasing 1.4% year-on-year. If we take a look at the sales volume, it increased by 2.8% year-on-year. And the lowering sales opposed to the increasing volume is a result of the FX impact as well. In U.S. dollar terms alone, our sales have increased by 6.7% year-on-year, and this is due to improving volume in the market in the U.S. and in Europe. And the gross profit margin for the PetCare business is at 26.3%. And this is, we have exceeded the range that was provided 3 quarters in a row. And this is a reflection of strong operations. The PetCare results for the full year, our sales went up 2.8% year-on-year, driven by the increase in sales volume. If we take a look at the -- take a look at this in USD terms, PetCare increased by 9.2%, while the gross profit margin continued to be in line with the target range of 23% to 25%. And lastly, as for the sales for value-added in the fourth quarter, sales dropped by 9.2%. And this is mostly a result of demand in the U.S. market. Under the value-added category, the various products, there's a big mix, which include Ambient and Frozen value-added products as well as packaging ingredients, byproducts and also other products. When our sales decreased, it was mostly due to the value-added in Frozen sales, which reflected lowering demand in the U.S. Our gross profit margin for value-added went down to 21.8% and the full year performance for the value-added business went down by 9.5% year-on-year. It went down in every category, as I explained earlier, but the ingredient business has done quite well. And the gross profit margin for the value-added was also favorable at 25.4% for gross profit margin. This is higher than our market range. It's above the target guidance of 25%. I'd like to return the presentation to Mr. Thiraphong now.
Thiraphong Chansiri: In 2025, we have reset our baseline, and it was a year for us where our sales went down. But in 2026, we expect to see growth -- a return to growth. And we had set a target for sales at 3% to 4%, and we expect growth in every category, especially high growth in the PetCare for ITL and also our Feed business from TFM. The sales growth will be mainly driven by higher volumes, not just the prices. And our assumption that we're using in 2026, the FX rate is at THB 32.5. This is based on the financial institutions, and we have not adjusted that number so far. Our gross profit margin, the guidance, we are committed to improving the gross profit margin to a level of about 20%. Our guidance is 19% to 20% for this year, and we expect that the margin will increase in the Ambient and Frozen and PetCare value-added. SG&A is at 13.5% to 14.5%. I feel that this is an appropriate level because we are at our branded businesses -- we've included our branded businesses, and we have our lower transformation costs, and we will not -- not in the transformation cost, in the Sonar function. CapEx is at THB 5.5 billion [indiscernible]. This is primarily due to increases primarily due to our projects that continue on from last year. We had a lower CapEx for last year, lower than our target. In addition, we are investing in other areas, such as the Feed Mill in Ecuador, which we have been recognizing CapEx numbers this year. We have an automated warehouse for PetCare as well, which has been completed, and we will see CapEx numbers regarding that as well. We have a new facility for Packaging, whether it's cans, Asia Pacific can, that's one of the businesses and also our printed materials, graphics, where we continue to invest. Our dividend policy remains at least 50% twice a year. And that is the guidance for 2026.
Unknown Executive: Thank you very much for joining us today. We will now take a 10-minute break before TFM session again. Thank you very much. [Break]
Unknown Executive: The Sonar cost which almost disappear, okay? And we expect roughly transformation cost to decrease by half. However, we do expect this positive impact to be offset by the negative impact coming from the full year impact of the U.S. tariff in the U.S. in our frozen business. That's why when you saw the guidance provided by Konrapong, it's almost a wash, okay? We keep the guidance quite close compared to what we have been doing in '25, decrease of our transformation cost, increase of the tariff impact. We want also to increase further our marketing expenses in our P&L. And that's why you see our guidance. We don't see any drastic improvement of our SG&A to sales compared to what we have been doing in '25.
Pinyada Saengsakdaharn: Okay. Now we will have only one question from the online. Regarding the 400 million share repurchase in the first half of 2025, does management still intend to proceed with the planned capital reduction? Or is there any possibility of the reselling and treasury share to help reduce debt to equity in the range?
Thiraphong Chansiri: Still have plans to reduce our cost. Nothing has changed. We still have 400 million more shares. If we're going to make any changes, we will inform you, of course. But at this moment, there is nothing -- no changes in our plans.
Pinyada Saengsakdaharn: As there are no further questions, we will conclude today's session today. Thank you very much for joining us today. We will now take a 10-minute break before our TFM session again. Thank you very much. [Break]
Pinyada Saengsakdaharn: And welcome to everyone for the results [indiscernible] the executives who are joining us today. Our CEO; and our CFO. And without further ado, I would like to ask our to go ahead and share the details of our performance results.
Thiraphong Chansiri: Hello to all of the analysts and the investors joining us today. I would like to begin with our meeting. Slide shows that even though the Aquaculture industry in Thailand in the past has faced many challenges many areas, whether it's outbreak in shrimp raw material prices and the global economic uncertainty. The company have been able to maintain strong growth we have delivered performance that have are the best ever best of business too and at the business and we have been able to increase our market share and shrimp feed and fish feed was seen growth in Thailand and in our exports consists strategies in the past TM. We have adjusted in our strategy to include a [indiscernible] of 51% stake and AMG-TFM, which [indiscernible] area that has been Pakistan resulting in our [indiscernible] and this allows TFM to focus on our resources on main businesses and strong markets and to take advantage of PetCare growth [indiscernible] One of the symptoms that are commitment to ESG and sustainability TFM [indiscernible] and managing news to everyone. We have many projects in the lower carbon shrimp project, which helps farmers -- shrimp farmers to reduce their costs and to lower their greenhouse gas emissions from the farms. This is to improve the farming efficiency and effectiveness and to bolster their long-term competitiveness as well. TFM is the first animal feed producer in Asia that has been certified by ASC. It's the ASC Feed Standard [indiscernible] high level. And this reflects our leadership in sustainability and [indiscernible] feed. In addition, to this we had innovation it prevents which are [indiscernible] feed almost to have remain to reduce the last [indiscernible] and the [indiscernible] breaking apart. [indiscernible] sustainability and regain to receive the [indiscernible] in 2025 and it was a year 2025 was a great year for us and this re-emphasizes that TFM in the past with past ex-sustainability in a core front [indiscernible]. In the next line, we tried to talk [indiscernible] for 2025 [indiscernible] increased 4.5% fishes in business except for [indiscernible] animal feed [indiscernible] 16.2% [indiscernible] increasing 33.4% [indiscernible] 22.2%, which is higher than 2022, 18.7% and this is the result of shrimp cage [indiscernible] strong profitability [indiscernible] and raw materials management as well. Since the result on 2025 we had [indiscernible] which is 19% compared to last year. [indiscernible] to our strong business operation. [indiscernible] we have done a track record for gross profit and net profit in the past 2 years and they [indiscernible] gross margin and high-level of [indiscernible] and our net margin of 11.5% [indiscernible] in our business operation that continue on [indiscernible] trade industry and [indiscernible] TFM, were our shrimp feed on 2025 has increased from the [indiscernible] market share including OEM products this in '25, 7% to 8% [indiscernible] exports in Indonesia growing by 25.6% from the [indiscernible] and this is thanks to our increasing share [indiscernible] on shrimp feed -- quality shrimp feed together with providing technical support to the farmers sharing that with them. And this has allowed shrimp farmers to be more successful in the operations and lower costs. On the next slide, you can see the overall operations for the country. In Thailand, we are now going very well, been able to capture more market share in shrimp feed and fish feed. Thanks to our sales team and our technical support team. In Indonesia we faced [indiscernible] pricing in the fourth quarter. We, it was also, the issue of [indiscernible] activity and the shrimp and there also FX in the U.S. market and in the fourth quarter we had sales affecting our value chain and the strong business in Pakistan. We still have sales producing due to the [indiscernible] business model to OEM [indiscernible] 2024. Overall it is now [indiscernible] because it's the small business size [indiscernible] shares in AMG-TFM to throw the partners. In terms to exports to other countries, we are seeing increasing from the [indiscernible] and this is one of the main targets. We have a target [indiscernible] on our portfolio, [indiscernible] we also have new partners in other countries share that with you in the Q&A session. Our exports, we still see a lot of room for growth and a lot of opportunity for sales.
Unknown Executive: This is about the dividend payout in the second half of the year for 2025. We announced THB 0.30 per share dividend has to be approved by the Annual Shareholders meeting first. The dividend pay is at 81.8%, which is higher than our policy guideline of no less than 50%. Record date is the 27th of February, and the payment date is the 21st of April. [indiscernible] and update on the employees that we have received in the past [indiscernible] our outstanding innovative. There was nothing innovative company [indiscernible]. This project that we were awarded from and something that we had shared [indiscernible] ever since 2024. We started that end of the year. We have been able to create [indiscernible] small sized [indiscernible] for young shrimp and this small is called [indiscernible] very small and we are the very first organization in Thailand to be able to do this. And this product helps both the production cost and the farming for the shrimp farmers pollution environment -- and this has led to us receiving this outstanding innovative company award. Let's take a look at the details in our performance for the fourth quarter, beginning with sales. Our sales is at THB 1.6 billion, growing year-on-year by 14.3%. You can remember right that this time last year, we said that in the fourth quarter of 2024, there was unusual season with low season 2024 instead of being a low season, that fourth quarter was a high season due to the prices of shrimp, which are very, very high, very, very strong. And even though we have that baseline in 2024, the high baseline, we're still growing 14.3% more. And this is mostly due to the results in Thailand and our exports because our Srilankan products recovered from flooding and we also have new customers from other countries as well. This growth is mostly from the shrimp feed together with the seabass feed. And our gross profit margin is at 22.3% and this has grown year-on-year as well and this is due to many reasons, whether it's raw material prices or the product mix has changed, this had the increasing shrimp feed contribution and SG&A. [indiscernible] has gone up [indiscernible] we have been able to [indiscernible] compared to last year, which was at 10.2%. And for the entire year, you can see, which we have been able to control our cost of sales. Usually, we take our customers -- if they achieve the targets, we take them for a trip and that increases our sales. But overall for the entire year, we have done quite well. There is one special item, which is the sales [indiscernible] TFM in the third quarter, we reported that impairment and in the fourth quarter, the actual sales took place, we had recorded another loss. Despite this doubtful debt due to the shrimp situation, whether it's outbreak. This is outbreak or radio activity in Indonesia to a high level of doubtful debt in the fourth quarter. Nonetheless, our profit margin reached the level of 11.2%, growing 22.1% year-on-year. If you wait and see the contribution from the different fields, shrimp feed has had 65.5% and increasing from [indiscernible] and shrimp feed goes to product [indiscernible] and this is the main source at the [indiscernible]. Once take a look at details on the different products of shrimp feed you can see and we have grown relatively well especially here in Thailand. The volume in Thailand, increasing volume in the fourth quarter by 26%. 26% thanks to the technical support and other measures we have taken. Shrimp prices are also at the level that the farmers are very happy with and you share after they have recovered in the third quarter from the disease outbreak in the first half of the year. They didn't had radiation issues and that led to a quick capture of shrimp, which affected their exports to America, which is their major export market. [indiscernible] month of last year, there was disruption in the value chain for Indonesia and the situation gradually improved. But the farmers they held back on shrimp raising and that led to an impact on our shrimp feed for Indonesia in the fourth quarter, but the situation is improving. In terms of our gross profit compared to last year, it improved and this is thanks to the raw material prices that have improved, especially in terms of soybean meal and fish meal, though the price has increased significantly in quarter 4. On to fish feed, we have seen growth in this respect as well. It's increased year-on-year by 6.7%. This is mainly due to the Seabass, which has grown 26.1% year-on-year. We have been #1 for Seabass feed for quite some time now, but we continue to grow and this -- for this feed compared to our competitiveness. And we are seeing -- and we have consistent quality and for other fish feed, the categories have declined a bit due to many reasons that gourami fish had disease outbreak and the market size decreased. This too working with the farmers to deal with this issue. And we have someapnea fish also risk for [indiscernible] for different kinds of fish and these are reasons credit concerns and this is reason for a decline in that fish feed other fish feed. We continue to work in this area. We've been working for several years now, but we are happy with the formulation and we're going to implement sales promotions to hopefully lead to increasing sales in other fish feed. And our livestock feed, this is a small contribution to our sales, but if you take a look at the volume, volume has increased and this is because of the lowering sales price. This is in line with the raw material prices. The margin is still at a very satisfactory level, and we will continue with this here, the net profit bridge, we've seen an improvement from THB 151 million in the fourth quarter, THB 151 million in the fourth quarter of 2024 have a stronger since we have a stronger margin due to many reasons. So, SG&A in absolute terms increased, but we have been able to control our costs quite well. And there are a few problems with the doubtful debt. And in Indonesia, they are working on resolving that issue. They are following up on debt that resulted from the radiation and disease outbreak. And AMG-TFG had disposals with feed. We also had that and we have taxes, which have improved and thanks to the [indiscernible] benefits, which we regained in the end of August and this is the summary of [indiscernible] this year that's very similar to the year before. We have been able to have a greater [indiscernible] that is strong and we [indiscernible] and the majority that you see here is that [indiscernible] projects and we renowned shrimp the factory and then [indiscernible] factory and also [indiscernible] dividend payment, which doesn't improved the addition that is [indiscernible] per share. We have a low debt level. These ratios are the cash conversion ratio. And we are very happy with the numbers. The cash conversion cycle is at about 35%, dropping a bit from the quarter before and interest-bearing debt to equity is still at a very low level at 0.09. And I'd like to hand this back to Mr. Peerasak.
Peerasak Boonmechote: As for the outlook for this year, we expect sales and we expect continuous growth at 8% to 10% and be main driver for be this [indiscernible] in Shrimp feed and fish feed here in Thailand who see a lot of [indiscernible] and who see a lot of in [indiscernible] opportunities. This profit is at 18% to 20% and this is thanks to our [indiscernible] to maintain quality production and our portfolio on fish focuses on [indiscernible] products. SG&A remains the same [indiscernible] CapEx is [indiscernible] and this is from our new [indiscernible] Ecuador. Hence will be informed the [indiscernible] for operational developments going on [indiscernible] Indonesia. Thank you to our executives, we are at the presentation and has anyone has questions [indiscernible] participants.
Unknown Analyst: I like to ask about Ecuador. First of all, Ecuador in the Group, are they important to certain producers? Ecuador has a very large shrimp market and one of the biggest in the world. Our entrance into that market, is it due to the fact that we already have customers or have we been invited into the market? Because I understand that the market there is quite large. You're investing THB 680 million and the capacity you would increase 80%. Is it going to be a construction phase by phase or will be all at once?
Peerasak Boonmechote: Let's take it question by question. Of course, the investment in Ecuador is in accordance with our road map. If the analysts and investors would be remembering, if you've been following at the news we shared our road map all the way to 2030. The organic growth, we're expecting organic growth of 8% to 10% yearly and joint ventures to up to THB 10 billion in the past few years. That's we have been sharing with you and the road map that we've made for ourselves, we are on track. In terms of opportunity while we looking at Ecuador -- it's because of the market size and the production yield. Ecuador has a 1.5 million tonnes shrimp farmings. They are growing over 10% every year and if we apply with the conversion rate -- conversion ratio, the numbers are very large. And that is why TFM was looking at this market as a great potential of opportunity. At the investment size is about the same that we had been driven 80% is for the production that can grow end to end and [indiscernible] continue to produce at 80% of the market. Second question is about relationship with partners. There are opportunities and risks, of course we're looking at is the partners. It's just like our investment with [indiscernible] in India. Our partners in Ecuador have great networks. And our partner has not just the network, but also the volume, the value. I don't want to share too much detail yet. But we do have a partner that is directly involved in the industry and also has a supply chain network that is very strong. And I think that's all I can share with you about that. In Ecuador, the shrimp farmers, you have your ASC certification. In Ecuador, they are certified as well because their largest export market is the U.S. And the shrimp that they export is world class at a world-class level. Its players to America or China or Europe, and they have tax benefits, benefit in terms of various barriers. They have all the certification.
Unknown Analyst: And the margin compared to us -- the gross margin, the average is not different?
Peerasak Boonmechote: Not that different, it depends on the situation. The margin was affected by many different things. It's the portfolio, the product mix, the raw material costs, the factory management, the debt that we believe is quite similar.
Unknown Analyst: You said 18% to 20% for the gross profit margin in your guidance compared to last year. I know that last year was a special year. The assumption that you're using, what's the assumption for fish meal and the soybean meal? Why are you able to achieve 18% to 20% for gross profit margin?
Peerasak Boonmechote: The first quarter is a low season. We adjust our guidance every quarter, but this is standard and it depends on the real-time performance as long. Some raw materials increase prices, some raw materials decrease, they offset one another. So our costs are relatively stable [indiscernible] in the first quarter, it's a low season and will peak in the second and third and fourth quarters.
Unknown Analyst: That means that the margin is according to your guidance, right? In the second third and fourth quarter, you'll adjust -- so how -- what is the outlook for the first quarter.
Peerasak Boonmechote: For the first quarter will be a low season relative to the [indiscernible] end of the year to the gross profit. There's a small volume. The volume increases in the following quarters, the gross profit will increase. The main variable is the prices of the fish meal, which is on an upward trend. It may not increase as high as in the fourth quarter as we saw earlier. Other raw material prices are not changing that much.
Unknown Analyst: You look at low season, right? We're looking at a decrease in the prices the profit for the first quarter year-on-year, what do you expect?
Peerasak Boonmechote: We expect growth in line with our guidance.
Pinyada Saengsakdaharn: Are there any other questions?
Unknown Analyst: Look at production [indiscernible] what percentage do you expect total capacity in Ecuador.
Peerasak Boonmechote: Looking at 8% to 10% [Technical Difficulty] would like to update as the [indiscernible] 2026. The strategies for this year was indicated before we are looking at 8% to 10% growth. Last year was an average of 12% to 15%. We will continue to grow this year as well. We will grow in the high margin products. Our shrimp feed share in Thailand production is not increasing towards 250,000, that's flat. Since this year to be about 250,000 as well. We're looking at about 320,000 [indiscernible] for our shrimp [indiscernible] market share, means we have to increase our shrimp feed with care. Despite the fact that shrimp feed is not increasing overall. We will capture more of the market share. Seabass feed is about [indiscernible] we will continue to [indiscernible] to achieve in that area. We will include our market share and seafood, Seabass feed and we want 10% to 15% and is our final destination and for exports. There are many things for us to consider and we will talk more about that in the second quarter. We will be able to provide a better picture for the [indiscernible] we have many countries. [indiscernible] portfolio whether shrimp feed or fish feed, [indiscernible] every portfolio for us is growing. We are looking to move to focus on sustainability and on innovation in line with our scientific and our world class businesses [indiscernible] the entire group, so that our globe rate [indiscernible]. More concerned about our sustainability [indiscernible] communication to farmers and [indiscernible]. In the next quarter and we are taking more action [indiscernible] with the farmers and we are working [indiscernible] demand, the supply chain and we are wondering well our [indiscernible] in the various reasons and to help the farmers and [indiscernible] we work closer with the farmers. That is our key pillar because we want the farmers to be confident in us to help them build the market. If the farmers can grow and the exports can grow, the supply chain can grow. Therefore, we have to make sure that everything in terms of the farmers in the country are strong. This will support our portfolio. And our investors in Ecuador [indiscernible] is another pillar for us. This is depending with SKUs for abroad looking at risk management. Everything is according to our road map. We are still on track, [indiscernible] the road map that we shared with you a few years before. We want to achieve our 2030 targets, and that is our game plan.
Unknown Analyst: In the past 2 years, your dividend payout was quite high. It was 100% and then 80%. And after this, you have projects where you will be using -- you need a lot of funding. So how will -- what will your dividend payout look like?
Thiraphong Chansiri: We'll have to balance investment and dividend payout, of course, but we will not be lowering our dividends lower than 50%. Of course, it will not be lower than 50%, even though we're going to be investing for the future. We will continue to follow our policy of no less than 50% dividend payout.
Unknown Analyst: I'd like to ask about the target market share, especially for the market share for the shrimp business for 2024 and 2025, 2026, [indiscernible] Seabass for 2024, which are 38%, 45% is still in 2025 [indiscernible]?
Peerasak Boonmechote: [indiscernible] in 2024 was only 7%, [indiscernible] expect growth every year. The size and the productivity in Thailand is not increasing and for shrimp feed we continue to see growth in the past few years, we had that. In 2024, the market share was about 27%, if I remember correctly. Have 16% [indiscernible] A challenge to increase to 120,000 tonnes overall sea sales in Thailand is 250,000 tonnes. We want to provide about 120,000 tonnes that [indiscernible] that's how we're going to drive the margin for our seabass feed and shrimp feed together with our portfolio management for our foreign investments or for our foreign clients and our exports and we will continue to engage with the farmers. We had our BOI investment last year. The game plan for this year is to use our production capacity and we will increase production without having to invest more in production. We already did so in the year before. If we have a product mix -- a favorable product mix, and we can continue to grow in shrimp feed and fish feed, we will have more volume in the freshwater fish. Our capacity will be able to maximize the utilization of our capacity. So overhead, of course, will go down. And the overall cost will reduce. The keyword for us is to maintain the level of SG&A. Selling prices are not changing and this will allow us to achieve our target. That is the game plan that I like to share with you.
Pinyada Saengsakdaharn: Are there any other questions? We have no aligned question. [indiscernible] for 2026, this will transfer the prices. Raw material prices, as we indicated before, the fish price is increasing. We continue to monitor weekly and [indiscernible] soybean meal and wheat flour prices are stable, and we also continue to keep an eye on these two. We try to lock in the prices 3 to 6 months in advance so that we can control raw material costs at a manageable level. We're not hoping to buy at the cheapest price, but at a price that is acceptable to our operations. As there are no further questions, this is [indiscernible] for 2025 and 2026. So for today, we would like to conclude this session. Thank you for joining us. [Statements in English on this transcript were spoken by an interpreter present on the live call.]